Operator: Good morning, and welcome to Camping World Holdings Conference Call to discuss Financial Results for the Fourth Quarter and Year Ended December 31, 2023. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that this call is being recorded and the reproduction of the call in whole, or in part is not permitted without a written authorization from the company. Joining on the call today are Marcus Lemonis, Chairman and Chief Executive Officer; Brent Moody, President; Karin Bell, Chief Financial Officer; Matthew Wagner, Chief Operating Officer; Lindsey Christen, Chief Administrative and Legal Officer; Tom Curran, Chief Accounting Officer; and Brett Andress, Senior Vice President, Investor Relations. I will turn the call over to Ms. Christen to get us started.
Lindsey Christen: Thank you, and good morning, everyone. A press release covering the company's fourth quarter and year ended December 31, 2023 financial results was issued yesterday afternoon and a copy of that press release can be found in the Investor Relations section on the company's website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding our business plans and goals, industry and customer trends, inventory expectations, the expected impact of inflation, interest rates and market conditions, acquisition pipeline and plan, future dividend payments, and capital allocation, and anticipated financial performance. Actual results may differ materially from those indicated by these remarks as a result of various important factors, including those discussed in the Risk Factor section in our Form 10-K, our Form 10-Q, and other reports on file with the SEC. Any forward-looking statements represent our views only as of today, and we undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as EBITDA, adjusted EBITDA, and adjusted earnings per share diluted, which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial statements are included in our earnings release and on our website. All comparisons of our 2023 fourth quarter and fiscal year results, are made against the 2022 fourth quarter and fiscal year results unless otherwise noted. I'll now turn the call over to Marcus.
Marcus Lemonis: Good morning, and welcome to the first call of 2024. I got to be honest, I'm glad '23 is over. On today's call, the team will cover both the operational and financial highlights from 2023, while providing an exciting outlook for 2024 and beyond. As the state of the union for 2023, there's really one key message that prevails. We believe our industry has seen the bottom of new RV sales and results, and are seeing positive indicators that the next several years will produce growth in revenue, unit sales, overall gross profit, and sequentially an improving bottom line for our company. We expect to deliver 30% plus EBITDA, compared to 2023. As we worked internally through the back half of last year, in an effort to raise our profitability in '24, we identified three key factors needing to be accomplished, to achieve our 2024 earnings goals. We needed to eliminate age model year units, renegotiate model year '24 pricing, and subsequently adjust our use position and values, resulting from the revised new model year pricing on '24s. The execution of this strategy puts us well ahead of our competitors and drives market share growth going forward. As we discussed on our last call, we will have completed the bulk of this by the end of Q1, with our adjustments on used driving the bulk of our current period. We elected to temporarily slow down, used acquisitions to allow for market pricing, to resolve before reinvesting our cash. While we worked through the inventory, while working through the inventory was our primary focus, we must recognize the Good Sam business, which delivered record earnings over $100 million for the first time and continues to show stability, and growth in servicing the installed base of our RVs [ph]. Fundamentally, I've never seen our business adjust with such precision to micro and macro-economic headwinds. Being able to achieve the profitability we experienced during this difficult period, has proven the resiliency of our company and puts a finer point on the quality and strength of the management team that have had the privilege of assembling over the last 20 years. I'd like to now turn the call over to Matthew Wagner to discuss our company's operations.
Matthew Wagner: Thank you, Marcus. As we reflect upon 2023, I cannot be more proud of our 12,000 plus team members. In 2023, we sold nearly 57,000 used units and generated nearly $2 billion of revenue, marking an all-time record for Camping World. Total new and used unit sales volume for the year totaled 115,000 units. Good Sam had another record year with 12% growth in gross profit and generating $100 million of adjusted EBITDA for the first time in company history. We also achieved our goal of significantly improving our new unit portfolio. We started 2023 with over 16,000 multi-year '22s in stock. Today, we're sitting with less than 7,500 multi-year 2023s, significantly outpacing the industry, with close to 80% of our inventory mix now in 2024 models. Our new inventory position was further enhanced by our successful negotiations in the fall of '23 with our OEM partners to reduce invoice prices in key categories. We were so successful in lowering new invoice prices, our used RV values were impacted. In Q4, we took decisive actions to reset used values and slow down the purchases of used RV inventory while market values corrected themselves. Between September through today, we procured 50% less used inventory year-over-year. As of today, our used same-store inventory is down 13%. These short-term maneuvers will allow our used volumes, to improve over time, as appropriately valued inventory is brought back into the system. We expect our used margins to improve sequentially starting over the next 60 days, and to normalize to historical levels by Q4. This overall inventory strategy has resulted in positive same-store new sales in December and this trend continued throughout February, increasing in the mid-single to low double-digit range. This movement and demand supports, our previously stated thesis that lower-priced RVs are a highly elastic product. In the way of capital deployment and asset management, we acquired, opened, or signed LOIs on over 30 dealership rooftops. We ended 2023 with 202 RV dealerships, or service centers. At the same time, we optimized our SG&A cost structure, we restructured our active sports business, and we consolidated, or exited distribution centers, and underperforming locations. We made a number of changes in 2023 and it made our company stronger. And we believe this sets the stage, for at least 30% EBITDA growth in 2024. As part of our growth plan for 2024, we will continue to focus on expanding upon the tremendous progress that, we have made with Good Sam Service, our used RV business, while focusing on market share growth of new RVs and adding accretive acquisitions, to our dealer network. As we sit here today, we are currently planning to add 25 to 30 dealerships in 2024, and the pipeline to acquire additional locations, remains robust. Many of these new locations will be opened, as exclusively branded stores focused on popular RV brands like Keystone, JACO, Airstream, Forest River, Coachmen, Alliance, and Grand Design. This cadence of store openings and acquisitions reaffirms our confidence, in hitting our goal of growing our store count, to 320 stores by the end of 2028. I'll now turn the call over to Tom Curran, to discuss our financial results.
Tom Curran: Thanks, Matt. In 2023, we recorded revenue of $6.2 billion, a decline of roughly 10% from last year, driven primarily by new unit volume, while used vehicle revenue of $2 billion increased 5% from last year, and was a record for the company. Meanwhile, our Good Sam Services & Plans segment posted record revenue and gross profit for the year with $194 million in revenue and $134 million of gross profit. In the fourth quarter, we recorded revenue of $1.1 billion, down 13% from last year, driven primarily by used unit volume. Total new unit sales increased 3.2% turning positive for the first time in 10 quarters. The decline in new same-store unit sales improved to down 2.2%. Our adjusted EBITDA for the fourth quarter, was a loss of $8.9 million during what is historically, our industry's toughest quarter. During the back half of 2023, we also reduced costs, by north of $60 million annually and will continue to look for SG&A efficiencies, throughout our business. As Matt alluded, we aggressively managed used inventory in the fourth quarter, to return cash to the business and recalibrate our inventory position heading into spring. We see our used business experiencing volume and margin trends in the first quarter of '24 that are similar to the fourth quarter, as we work to restock our lots, for the upcoming season. On the balance sheet, we ended the quarter with about $185 million of cash, including $145 million of cash in the floor plan offset account. We also have roughly $271 million of used inventory net of flooring and $200 million of parts inventory. Finally, we own $175 million of real estate, without an associated mortgage.
Marcus Lemonis: Thanks Tom. Look, as we all have indicated, we believe the trend lines are very clear. We expect 2024 to be a much better year, with the outlook after that only getting better. I'd like to turn the call over to the operator for the Q&A section.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Joseph Altobello with Raymond James. Please proceed with your question.
Unidentified Analyst: Good morning. This is Martin on for Joe. Back in Tampa, you talked about likely margin compression in 4Q and 1Q to clear out non-current inventory. Do you anticipate the impact to be less in 1Q and expect normalization in 2Q?
Marcus Lemonis: So, I want to unpack that in two different categories. We believe that the new margins are going to sequentially improve as we continue, to move out of 2023, and really get back to a more normalized margin state for the full year. We actually think we have a pretty good shot at that. On the use side, as we mentioned earlier, when we had success in renegotiating the '24 pricing. We had to acknowledge that the success on one side, could create a short-term risk for us on the other side, and that's the used inventory values. We, through the fourth quarter, took a lot of gas and a lot of pain in liquidating that used inventory, and at the same time shut off our procurement of use, at a pretty rapid pace. So that we could bring cash back in, wait for the market to settle in with the appropriate new derived values based on pricing, and then we would work our way back up. I expect the used margin compression, to continue through the end of Q1, because we really believe that if we can just bring our cash back in and turn that inventory, it will pay dividends in Q2, Q3, and Q4. The compression of margin that we're experiencing in Q1, that's self-inflicted, doesn't change our outlook for the full year. It just moves a lot of the profitability, as expected, to the normal quarters where we make the bulk of our money, which is Q2 and Q3, and we will have a much better Q4 than we did the last two years.
Unidentified Analyst: Thank you. You mentioned your record and year for possibility for Good Sam. Do you have any further thoughts on Good Sam monetization, what that might look like in the potential timing?
Marcus Lemonis: I missed that one word, Good Sam activation.
Unidentified Analyst: Monetization?
Tom Curran: As we've spoken and released that press release just a couple months ago now, there is no further updates we have at this time. But we've been thrilled with the amount of outpouring and outreach that we've had from interested parties, and wanting to partner with us, and work with us and learn more, but as of this moment, no additional updates.
Marcus Lemonis: Yes, I mean, look, that's the technical answer. Here's the other answer, and that is we love this business. We love the Good Sam business, and when we look at the last five to 10 years, it has been our crown jewel, and we believe it will continue to be. The management changes that we've made there in the last several years have clearly paid dividends. And from our perspective, it's really about understanding how we're going to unlock value for our shareholders. There are a lot of different scenarios, and we're not married to any of them. In fact, at the end of the day, we just want to understand what our options are, but that business continues to perform, and we expect it to continue to be the stable rock in our portfolio.
Unidentified Analyst: Great. Appreciate it. Thank you so much.
Operator: Our next question is from James Hardiman with Citi. Please proceed with your question.
James Hardiman: Hi, good morning, guys. So obviously, the most encouraging part about all this is how much better things have gotten in January and February, obviously, particularly on the news side. Help us understand how much of that improvement is sort of industry improvement, overall demand improvement, versus, what you guys are doing at Camping World. I'm trying to figure out, which of those two things would be really more sustainable, more important, obviously, that the whole industry has been waiting for that positive inflection point. Do you think, we've seen it, or is it just sort of stuff that you guys are doing to gain share?
Marcus Lemonis: I'm going to separate that into two very specific answers. One, we are very hopeful that the industry at large is rebounding. And that's important for us, because the growth of the installed base is the giant feeder for our service business, our Good Sam business, our parts business, we need the overall industry to be healthy. We need the manufacturers to get back to working production cycles, where they're shipping north of 350,000 units at a minimum. But we do believe that, there are things that we are doing that have allowed us to outpace our competitors. And when you look at the decision to drive down ASPs, consciously drive down ASPs in the face of what is still pretty material interest rates, we think that's made a big, big difference. I think the other piece that we are really starting to recognize is that the creativity that we have worked on in developing some of our private label brands, like the launch of Eddie Bauer, which previewed materially at both Hershey and Tampa, and the consistent performance of Coleman, has made a big difference. But we have also seen solid performance out of our Keystone business and our JACO business just the same. And we've seen good explosive growth with the new acquisitions of certain dealerships that had grand design. So, I think there's a combination of a lot of things. Cleaning the inventory was actually, in our opinion, the biggest driver of all of it. And taking the pain that we took, and will continue to take for another couple months is really what is putting the wind in our sales, and setting us up nicely.
James Hardiman: Great. That's helpful. And then maybe let me ask this, how much of your destiny in 2024 do you think you ultimately control? If we think about that 30% EBITDA growth, are you embedding some assumptions about where interest rates are going to head and when? And are there any sort of industry, wholesale, retail benchmarks that we should be thinking about that would be necessary, for you to still accomplish your goals?
Marcus Lemonis: We still believe that the general macro environment is tough. I mean, interest rates are still high, and we're not going to prognosticate on how many interest rates cuts there will be, will probably in our mind thinking that there may be two, and they're later in the year. So there still is some headwind that we have to work through. Us having a 30% improvement in EBITDA over a lower number is not any high five moment for our company. So - while we're confident that we can get there, it is not a celebratory moment. We continue to work forward, in making sure that our inventory is clean, our SG&A is tight, so that we can enjoy that type of growth hopefully in the years past 2024. I think from our perspective, we're expecting retail and wholesale, to be in the 360 to 370 range. And while there are some that believe it could go higher. We have to be realistic that there's still a possibility that it could even go lower. But we're comfortable with that band. And what we're seeing in the marketplace, both from shows, both from looking at other dealers' websites, is that there is momentum happening with more than just us. We think we're just outpacing everybody a little bit.
James Hardiman: Got it. Makes sense. Appreciate it, guys, and good luck from here.
Marcus Lemonis: Thank you.
Operator: Thank you. Our next question is from Daniel Imbro with Stephens. Please proceed with your question.
Daniel Imbro: Yes, hi. Good morning, everybody. Thanks for taking our questions. Marcus, last quarter, I think you and the team talked about taking maybe $60 million in costs out of the business, maybe to follow-up on the EBITDA growth outlook. As we see unit growth improve, how do you and the team feel about keeping those costs out of the model? And then as you go through the downturn, you know, never waste an opportunity, are there any other stones you've turned over that could drive further efficiencies in the model as you see the business positioning for growth again?
Marcus Lemonis: Well, there's always a really important distinction between taking fixed costs out of the business and understanding that variable costs tied to commissions and advertising are going to go up as volume goes up. What we're really focused on is driving down our SG&A as a percentage of our gross profit. That is really the focus. And I want to turn it over to Tom, who really was the architect, of looking through the expense structure and finding those things while recognizing that as volume comes back, right variable expenses are going to go with it.
Tom Curran: Yes, as volume comes back, as we need more people to pick up the phone and take the ups, there will be some increase in some of those variable compensation structure pieces, but we are continuing to look with Matt and the team and the analytics team at things like our lead propensity model and how can we get smarter with the advertising dollars that we do spend? How can we get smarter with our IT spend in certain areas? That's not to say that we're banking on it for the upcoming year, but there's -- we're still turning over stones for sure.
Marcus Lemonis: But I'll give you a small little case in point, right? One of the things that we work very hard on in '23 is to renegotiate certain leases, look at exiting certain properties and just driving down those fixed costs that weren't generating any revenue. We exited the active sports business. For the most part, we still have a very small web presence, but we started to get out of distribution centers in underperforming locations. Because we can't afford to wait for the market to come back while we burn through money. Until we made some tough decisions, and we will continue to do that as we always have as we enter '24. I will be really crystal clear about that. The expense reductions aren't done. We're always going to be looking for things that we can eliminate, getting out of things that don't perform well, eliminating staff members that are contributing to the bottom line are generating revenue. That is always going to be the thesis. I will tell you though, one of the things that we are excited to see is as rates come down, our floor plan expense comes down, and it comes down materially. For every 0.5 point that comes down, I mean you're talking about big numbers on an annual basis when you have $1 billion of inventory. So as we look at driving advertising costs down, getting out of poor-performing locations, making sure we have the right staff levels, modifying pay plans, which is always tough, we are going to wait for some wind to come into our sales that is outside of our control, but that we anticipate happening at some point.
Daniel Imbro: Understood. Appreciate that. And then maybe for a follow-up, I think, Matt, you mentioned adding 25 to 30 dealerships this year. Can you remind us how many you've completed so far? And then of those you've done, are all of them open and kind of running on this lean Camping World model where you've worked through old inventory? Or is there still a digestion period through the middle of this year that maybe. we were waiting until 2025, before we're getting the full contribution from those recently acquired and the soon-to-be acquired stores.
Matthew Wagner: So if I take a step back and try to answer your question, the sequential order. As of this moment, we have opened four of those locations so far. So, we should immediately start to generate revenue out of those specific locations. Of the other 25 to 30, we will have staggering open dates over the ensuing two quarters at least. Some of them might even bleed over to the third quarter depending upon. So when we think about what we're assuming in some of these scenarios, some of them are just greenfield builds, whereby we built them, completed them in Q4 of last year in which case, we'll be able to pick up just clean revenue. We don't have to be picking up any sort of older model year units like 2022 units, or '23s. Which, to answer your question, ultimately, in some of these other scenarios, we could be inheriting a number of multiyear 2022s or '23s. The good news, though, in these scenarios, we are negotiating all of these deals, whereby any sort of write-down is really just attributable to goodwill and it is factored into any sort of purchase price. So we are buying these model year '22s and model year '23s at appropriate market values. As such, I don't think that should negatively impact our margin profile in the back half of next year. And we do believe that we'll start to pick up some incremental gains year-over-year by Q3, Q4, which is why when Marcus suggesting the sequential improvement, we see a lot of upside here in Q3 and Q4 in particular, because of these acquisitions, plus all the different expense reductions we've been making, and we see a lot of upside there.
Marcus Lemonis: Just to put a finer point on it, we're going to make acquisitions or close on those acquisitions here in a pretty steady pace over the next 12 weeks. And there are going to be '22 and '23 model year new units coming into our system. So if you analyze our website or run any metrics against our website, you will see a jump in that. We want to be crystal clear that the value of those units coming into our system that are '22 and '23 are materially lower than the original invoice cost. They are on the money as we would say. So there should be no negative gross profit experience coming from those acquisitions. So please, when you see those units come into our system, do not arrive that there is some sort of problem, just understand they're on the money. And that was in large part, the reason we were able to make the acquisition of what was a very successful business that just got into inventory trouble.
Daniel Imbro: Really helpful. Best of luck, you all.
Marcus Lemonis: Thank you.
Operator: Our next question is from Mike Swartz with Truist Securities. Please proceed with your question.
Michael Swartz: Hey, good morning, everyone. Maybe just following up on the gross margin on new in the quarter. It was almost 19%, and that's fourth quarter's seasonally - I think one of the seasonally lightest quarters for gross margin. And I think you had mentioned, Marcus, that you're kind of expecting flattish gross margin, if I heard that correctly, in new for the full year on a year-over-year basis. I guess, walk us through why that would be the case and maybe how to think about where that 19% goes over the next couple of quarters?
Marcus Lemonis: Yes. Well, the 19% was largely driven by assistance from the manufacturers who understood the necessity, and that had been pre-negotiated months and months and months in advance that, they needed to help us participate in that cleansing. On a go-forward basis, the normal margins are in that 13% to 14% range. And we really believe that, that is a sustainable long-term strategy that gives us the velocity we need to do volume and transactions. As we have said for a very, very long time, the lowest contribution of margin in our entire portfolio is the new margin. Even when it gets up to 15%, 16%, 17% during COVID periods, we rely on the F&I transaction, the service and parts transaction and all the Good Sam attachment to all those things, making that entire transaction more valuable. One thing that we have to do a better job of in '24 and '25 is we need volume and market share back. Our company feeds off of a larger installed base. That has always and will continue to be our business model. So when volume contracts, it has a long-lasting effect on more than just the new sales of our business. It affects our F&I, it affects our compensation metrics. SG&A as a percentage of growth. So what we're most excited about in '24 is driving those ASPs down, going out and grabbing market share in categories that we believe our competition is late to the party on and understanding that volume and transactions. And getting volumes back to pre-COVID levels is job number one. Our new volume by location has hit a level along with everybody else in the industry that is unacceptable to us and not sustainable. So as we want to kick start that volume again and get these same stores, not new stores, we get these same-stores to contribute at a level that they historically contributed to that. We need volume which is why we're pushing down the ASPs, which is why we're going to accelerate into new volume that really is the thesis. But I don't want anybody to look at the Q4 new margin and think that's some trackable event for the next 12, 24, 36 months. It's an abnormality, but it was a planned abnormality that we knew, would help us push that through.
Michael Swartz: Okay. That's helpful. Thank you, Marcus. And then maybe on the - used vehicle side, and maybe two questions. I guess I'm trying to understand if gross margins were so compressed and you were obviously clearing inventory pretty dramatically during the quarter. I guess volume didn't react similarly. Was that simply due to not procuring as much? And then I guess, with what's gone on in model year '24 pricing? I know this kind of anomaly historically at least. I guess how does that feed into how you think about the RV Valuator tool going forward?
Marcus Lemonis: So when Matt and I drove away from the open house in September, and he had, had unbelievable success in renegotiating that '24 pricing. We both looked at each other in the car and said, we better get ahead of these used values. One key component of the Good Sam RV Valuator is invoice pricing on new models is an input into that equation along with a number of other factors. And we knew that as that was a factor, that valuator was going to be impacted in terms of how it saw used values. We knew driving home on that day that we needed to be quick and fast in exiting all used inventory that had been procured under the premise that values were higher on the [technical difficulty]. At the same time, we were unsure of ourselves in terms of our willingness, our appetite to take on risk and continue to procure inventory at the same time while we knew there was a falling knife on used values. So we pulled back on our procurement knowing that it was going to affect volume because if you have less inventory in stock, you're going to sell less. But in our thesis, as money came out of our used inventory and came back into our cash account, we felt that it was the right thing to do. We are not done in cleansing that used inventory. There is some hangover, there's a material amount of hangover in Q1, but that's self-inflicted. Many dealers, many recreational dealers, auto dealers, et cetera, would do what's called kick the can, and they would just worry about dealing with the aging later. We have been disciplined since the beginning, of this company on how we manage our used inventory. And the reason for that, is that we know that the #1 thing that could kill a business is poor inventory management. Our best loss is our first loss and recognizing that the values are overstated, but not a lot, but enough to be material, we needed to act quickly. Our volume on the used side will be temporarily constrained, because we are not chasing procuring inventory just yet. I would expect that in the month of March, probably towards the middle, we will turn back on the procurement, so that we have a more robust spring and summer unused, and we feel more comfortable with how the values have settled in.
Michael Swartz: Great. Thank you
Operator: Our next question is from Scott Stember with ROTH MKM. Please proceed with your question.
Scott Stember: Good morning, and thanks for taking my questions.
Marcus Lemonis: Yes, sir.
Scott Stember: If you look at the products and services, a pretty big decline in the quarter. But if you were to parse out some of the eliminated businesses and look at just the repair side, at the garage or in the shop level, how did that perform in the quarter on an organic basis?
Marcus Lemonis: Yes, sir.
Tom Curran: Well, we don't report the shop level separately. I'll start with that. But we were quite pleased with how our core service department performed in the quarter. We did, as we mentioned before, restructured that active sports business at the beginning of the year. Historically, the fourth quarter has been the best quarter for that business as you get through Black Friday and you get into winter season. And we also have our RV furniture distribution business, that OEM distribution business that relies on wholesale shipments and production in Elkhart to drive volume. That obviously was down as well in the quarter. So when you think about the impact of those, maybe about $50 million of top line impact in the quarter.
Marcus Lemonis: Yes. The good news is, right, that we really look at the core business and the core service business seems to be…
Matthew Wagner: Yes, this is Matt Wagner speaking now. I mean, as Tom and I have arm-wrestled over this many times, I would love nothing more than to break out the service business in particular to give credit where it's, due ultimately where we would love to continue to highlight the success of our service business, and actually pushing more business through the base. Because we've seen in times like this, where there's different calculations valuation issues out there, inflation takes hold in a deflation environment, the service business is the one constant within the dealership network, especially that consistently performs, especially as consumers want to hold on to their assets longer and just simply repair it instead of just a straight-up replacement. And just as well, we realize the benefits that come along with all the extended service plans and the Good Sam business that tends to be bolstered by such a presence. We did see a nice improvement in service year-over-year. And we continue to see upside in growth, especially with external work within our service base.
Marcus Lemonis: The one thing that I cannot sort of avoid is as the new volume comes back, and as we trade for more units, and as more customers are out on the road, both the existing ones and new ones, that service business has a natural rise that ties back to overall sales growth. So we expect to see over the next several years, continued improvement, continued Bay utilization, et cetera. It was a tough 24 months for us. And I don't want to avoid that topic. Even service was up because when volume falls, everything sort of falls with it. Yes, our used business helps us keep reconditioning things going. But that's internal work. We need to see more customer pay work where people are out using their rigs, and we're eliminating pain points for them. And that is a clear focus for us for the next 36 months.
Scott Stember: Got it. And just one follow-up. Just after a year of absorbing a lot of new companies through acquisition. Maybe just talk about some of the positives that you've seen on the synergistic side, whether it's from a used angle or from F&I?
Marcus Lemonis: It's always tough to feel really good about acquisitions that we buy at super trough multiples in a trough environment because the trough environment still is the macro environment that, that business has to function with. What we have been successful in doing and what we think is the bright spot is the integration of the brand, the installation of our process in F&I. The installation of our process in service, the readjustment of the inventory matrix to have new use, those things have been real bright spots. But to have those acquisitions really make us feel good, we need the overall market to come back so that our same-store business grows and our new store grows in time.
Matthew Wagner: And if I could even just throw in a couple of other elements. Every time we add a store, we achieve more and more scale in our marketing, tech stack where ultimately, we know that we have such a commanding presence within this entire industry. And each time we add another rooftop, we're enhancing marketing but also service capabilities. You go back to your first question, Scott, where part of this whole opportunity as we continue to expand is continue to evolve within this whole lifestyle and grow this total addressable market and for our capture of that total addressable market.
Scott Stember: Got it. That's all I have. Thank you.
Operator: Our next question is from John Healy with Northcoast Research. Please proceed with your question.
John Healy: Thanks for taking my question. Just wanted to ask kind of a high-level question. As you think about the products and service business and Good Sam, are there any aspects of that business that kind of operate today based on what happened 3 or 4 years ago? So when I kind of look at the spike that you saw in your business from '20 to 2021, is there anything that we should expect in '24 or '25 that should, in essence, kind of pop up higher just because of the age and then the flow of the RVs, just kind of migrating just through the consumer holding them for an ex amount or period of time?
Marcus Lemonis: That's an excellent question. And Good Sam has portions of its revenue that are deferred. And so when we have a good year, the deferred income happens over 2 or 3 or 4 years based on the product that we sold. Oddly enough, when volume is down, the deferred revenue doesn't - isn't as robust. And we've already been through that process over the last two years, where we've had to make other moves inside of the business to grow that business. As volume comes back, we expect first year revenue recognition and then the following year's revenue recognition to improve materially. And that's an excellent assessment because that's ultimately how the Good Sam business works. You need good volume over a long period of time to help. That's why we're excited for volume to come back. That business needs just the same.
Matthew Wagner: Even further elaborate on that, going back to the PSOE category. When you think of just the install dates growing in 2023 based on RBIO [ph] records, another 200,000 individuals that are registering their assets. That's just suggestive of the fact that yes, you are going to need to have more repair cycles as well as all the different products that consumers are going to need. So you're spot on, John. That's a good thing for us. As this business grew markedly two years ago, consumers do not leave this industry. Once they get hooked, they're in this lifestyle and that starts to pay residual value for all of our different businesses like a service in particular and Good Sam.
John Healy: Got it. Thank you. That makes sense.. And then just one final question. On the SG&A growth side of things, I might have missed it, but is there a bogey that we should be thinking about for this year or maybe the exit of this year?
Marcus Lemonis: Yes. I mean we're not where we want to be in terms of full maturity coming back into mid-cycle yet. We would not consider 2024 a mid-cycle year. We're still in a -- we're not in the trough but we're not at mid-cycle. And mid-cycle has always targeted us to be around 68% to 69%. I would expect we'll be in the 70% to 72% range that - I mean, excuse me, 72% to 74% range in 2024.
John Healy: Great. Thank you.
Operator: Our next question is from Noah Zatzkin with KeyBanc Capital Markets. Please proceed with your question.
Noah Zatzkin: Hi. Thanks for taking my questions. Hoping you could maybe provide some additional color on any updated thoughts around the complexion of the 30%-plus EBITDA growth expectation in '24 relative to maybe how you were thinking about that 3 or 4 months ago. I think there was a thought that maybe full year same-store unit growth could be driven by both new and used growth, but given some of the commentary around used, would you expect new same-store units to drive that growth with used declines? And then you just kind of touched on this a bit, but given some of the moving pieces on vehicle margins in the quarters, in the quarter. Just any updated thoughts on blended vehicle margins versus SG&A rate as a percentage of gross margin as building blocks to get to that 30% plus. Would be helpful? Thanks.
Marcus Lemonis: Okay. Great. I'm going to try to unpack that in a couple of different ways. The first is we -- I don't recall ever saying that we thought both new and used would be up materially in '24. I think we believe that same-store total unit sales will be up, but it is largely driven by new on a double-digit basis. So that's a big contributor. The second contributor is we also believe that we're not going to experience the same gross margin pain through the second and third quarter that we were experiencing last year. And the third piece is, as Tom mentioned earlier, we have made some material SG&A reductions. The combination of those 3 is what's giving us the ability to have a fairly decent '24. We don't consider a 30% growth in our EBITDA number, anything to celebrate. We're coming off of a low number. We're trying to dig out of a low trough environment, and we're trying to get back to mid-cycle, which we think is probably going to be more realistic in the 25 to 26 years that, that will be far more robust. We are working our ass off [ph] to get to a number in '24 that cobbles together better margins, better top line revenue on new sustaining our relevance in used, continuing to grow our service business and stabilize our use -- our Good Sam business, while we are contracting costs at the fastest rate that we possibly can. That's what's helping us get there. There is no grand macro wind that's going to take us to 30% up in 2024. We believe that's possible in '25 and '26, and we've seen this moving before. But we do have to work through that. So that is the stacker builder model to get to that '24 number. Can you remind me on the second half of your question, I apologize?
Noah Zatzkin: Yes. Just any thoughts relative to maybe three or four months ago on kind of the blended vehicle margins for the year and the complexion of that new versus used. And then you kind of touched on SG&A rate as a percentage of gross already.
Marcus Lemonis: Yes. I mean the SG&A as a percentage of gross is a hump to get there. And I really believe that while the 72% to 74% is a goal, we have a lot of work to do to get there. We're going to need those margins to come back in our model today of 30% EBITDA growth, it's probably closer to, call it, 76 % 77% and we have a lot of work to do to get there. And so I'm optimistic on the SG&A side, probably more optimistic than I should be. But we feel comfortable with that number. We have no change from 3 or 4 months ago. I don't see any different strategy. The one thing I do want to put a very strong point on is that we are going to continue to stay disciplined around inventory. I cannot stress that enough. We are going to continue to stay disciplined. And while we know that, that doesn't make everybody happy, we promise that the investment in staying discipline will yield much better results in this year and the following years. We cannot get lazy in managing that. So the used margins are going to continue to take pressure.
Matthew Wagner: And no, even just to put a firing point on perhaps more directly your question of margins, especially in Q1 sequentially throughout the year. You heard Marcus earlier speak about new margins being in that like 13.5% to 14% range. We believe it will probably be in that range in Q1 and can maybe improve a little bit throughout the course of the year on the new side. And on the used side, as you suggested earlier, just as well, it's going to be lower than historically it has been.
Marcus Lemonis: In Q1.
Matthew Wagner: In Q1, if I was a betting individual, probably not like perhaps 14% to 16% range. And we know that that's a bit of self-inflicted pain, but really good inventory hygiene and management and that's at the stage very well then for the balance of the year, where I wouldn't be surprised if we settle into that like 20% to 21% range for the balance of the quarter throughout the year.
Marcus Lemonis: By the end of the year. By the end of the year. It's kind of interesting, and I'm hoping you guys heard what I did. We're apologizing and disappointed with used margins that are still going to be higher than everybody's excitement, around new margins. And what that tells you is the used business is the secret sauce of this company. And the reason that we are so diligent right now in the hygiene around it, it's because we know that that's what's going to carry us for the balance of '24, '25, '26 and beyond. We go as the new market goes. And there are years where we outperformed the market and there are years where we underperformed the market on new. We have to be always outperforming the market unused, and we know that cleansing is the key to that.
Noah Zatzkin: Thank you.
Operator: Our next question is from Tristan Thomas-Martin with BMO Capital Markets. Please proceed with your question.
Tristan Thomas-Martin: Good morning.
Marcus Lemonis: Good morning.
Tristan Thomas-Martin: Can you talk to just OEM promotional support in 1Q? Do they just kind of stop to speak it when the year turned? Or how has that played out?
Marcus Lemonis: No. I mean, look, the manufacturers are always supportive. It's not about stopping the spigot, it's so that there's not a lot of water left in the tank. There's not a lot of necessity for it. And we made the commitment with them to be proactive together. And the assistance that we're getting is similar to the assistance that other people are getting. They may be showing it in marketing co-op or floor plan assistance or a variety of other areas. But the manufacturers have been, in my opinion, stellar in understanding that the overall growth of the market is dependent on the cleanliness of the inventory. And if you look back in 2023, each manufacturer took a lot of pain and a lot of gas, both on the top line side, and on their overall contribution to dealers to cleanse inventory. We're hopeful that the bulk of that's done. There are still a subset of dealers out there that have issues with their inventory. You can see it in the general marketplace. We don't think it's as prevalent as it was seven months ago, but there are still some. That's usually how acquisitions come to our front door because our inventory struggles. The manufacturers in the 20-something years that I've been doing this, for the first time to this degree, really do understand the importance of units moving through the channel. And I compliment them on three specific things: one, they don't seem to be making spec inventory like they were before, trying to be far more in line with what the retail registrations are; two, they acknowledge the need to drive down the cost of a like-for-like unit by being more innovative, negotiating with suppliers, suppliers being more willing to participate; and three, everybody really does understand that inventory management for the first time and hopefully. The final time is key to having symbiotic communication with the dealer to not outpace it. In the past, manufacturers would overproduce, dealers will get overstocked, and we'd go through the same cycle. I think maybe for the first time, that lesson has been more learned than ever.
Tristan Thomas-Martin: Got it. And then you kind of mentioned this, are you expecting more, kind of price concessions from model year '25 relative to model year '24? And then just as a whole, how are you thinking about tailwind model year '24 ordering ahead of the '25 rollout? Thanks.
Matthew Wagner: And I think the manufacturers have been very effective at targeting certain price points to ensure that they're spurring some demand in the marketplace. What I mean by that is specifically within that travel trailer segment and under, I'd say, a 30,000 retail price point, we believe that the manufacturers are very creative in terms of either decontenting or perhaps having some sort of price concessions to actually ensure that we're able to yield more market growth. But ultimately, within other categories, I do believe that there's going to have to be a little bit more wiggle room specifically when we talk about motorized or even fifth wheels. We're keeping a very diligent eye on that just as well because we understand that when prices are modified within the overall new marketplace, it could impact used. So we believe that we have factored that in moving ahead to understand that there's going to perhaps be some other price concessions in different categories. Albeit I don't think they're going to be necessarily as material as what we just saw across the board. But I think we're set up pretty well as a company, I can't necessarily speak for our competition and the broader base at large.
Tristan Thomas-Martin: And then just your kind of plan for '25 ordering/end of '24 ordering?
Matthew Wagner: Planned for ordering at the end of '25?
Marcus Lemonis: Yes - we don't. Yes. Let me jump into this one. We don't order - like we don't wake up in the morning and just order. We have a six to nine-month planning that we sit down with each manufacturer to ensure that we're ordering inventory the right way. And what we want to be careful of is that we're ordering and looking at demand while we're ordering. So we're not just going to go out and place a ton of orders. '25s are going to come at some point. And we don't know when that's going to happen. We believe that the manufacturers are going to stay disciplined and allow dealers to work through their '24 inventory as we hit the selling season in the spring and the summer and then roll out '25 at the appropriate time.
Matthew Wagner: Specifically motorized convert quicker. That will probably happen in the next couple of months here. And in all likelihood, my hope to Marcus' point, is that towables don't convert that model year until July, August time frame. In which case, there won't be an abundance of 2025, within the overall network until probably like October, November. It generally takes a little while to ramp up that production and start to sell down '24s to introduce '25. So to suggest what the game plan is. I mean that's really tough to say at this moment. But just understanding that there is a scarce supply of rolling stock inventory and generally speaking, of the dealers that we're acquiring, they've been apprehensive to restock as of this moment. So when I say restock really in Q1 and perhaps bleeding into Q2. There's going to come a moment though, where all dealers are going to have to restock, because they simply are either just so low on inventory, and they need to have some sort of way to entice consumers to come back into the overall network. My guess is Q3, Q4, there could be a fair amount of wholesale shipments within the overall industry. I think there could be some material increases, and that just suggests with the fact that we've reduced inventory to such an extreme level as an industry over the last 2.5 years. So there has to come a point where restocking occurs.
Tristan Thomas-Martin: Perfect. That's what I was looking for. Thanks.
Operator: Thank you. Our next question is from Brandon Rolle with D.A. Davidson. Please proceed with your question.
Brandon Rolle: Good morning. Thank you for taking my questions. Just first, a follow-up on your fiscal year '24 assumptions. You had said maybe two rate cuts in the back half of this year. Does your 30% EBITDA growth forecast baked in, the improvement in flooring cost and maybe overall retail demand? Or is that just a comment you felt like rate relief would be minimal this year?
Marcus Lemonis: I mean we have very, very little enhancement to our number based on any rate cuts happening. If it's $1 million, that would be a lot in the back half of the year.
Tom Curran: That's right. It's really just a couple of rate reductions in the back half of the year impacting the floor plan interest expense. We have not tried to really get bullish on the demand impact of it.
Brandon Rolle: Okay. Okay. Great. And then also just on new RV pricing, you had talked about continuing to drive prices lower. How much lower do you think pricing needs to go in some of your higher velocity categories to really get the industry back to normalized retail volumes?
Matthew Wagner: I mean for us, I feel pretty good, Brandon, that within our high-velocity products, especially those that are under 20,000 retail price point, but we've been very effective at hitting that right invoice price and in turn right retail price. I think as you go up the pricing funnel, there's going to have to be some concessions here and there, especially as you get up to the Motorized segment. That's where that's going to be a head scratcher for me in so much as. It's going to be very difficult to actually continue to yield the demand that we're seeing out there, knowing that Ford is still imposing price increases on their chassis. So motorized manufacturers truly are going to be just subjected to whatever Ford is going to suggest in terms of their cutaway chassis and raising those prices. And they can only work with suppliers to such an extent to reduce the overall content that's being put into those assets.
Marcus Lemonis: I think the one thing that we don't want to have happen to be totally honest with these. We want this perfect balance between prices reducing, and the consumer not losing confidence in the value of the asset they just bought. That's a really, really important thing. Like we want to drive value to the consumer. And we want the manufacturer to make money, and we want to make money. But if we keep moving having these wild swings in invoice pricing, the customer is going to lose confidence and more importantly, the banks will lose confidence in what their end value is. This whole model for 2024 was really built on a couple of assumptions, and I want to close out with just kind of clarifying a few things. Number one, we expect new volume sales to improve. We expect used volume to stay relatively flat, and there will be nip and tuck. But for the full year, we expect it to stay relatively flat. We expect gross margins on the new side to sequentially improve, but are not going to have some COVID type margin return. That's not going to happen. We expect used margins to materially sequentially return as we start the year in that 15% range in Q1 and get back to a normalized number by year-end. On the expense side, this is maybe the most important takeaway. We've always had a goal of having SG&A at 70% or below. But a number of factors are important in understanding how we get there. One of them is taking care of our people. And what we did not want to do is start going through our organization and just eliminating head count without any logic to it because we know this industry comes back. In a matter of 60 days, we saw our numbers go from negative -- materially negative on the new side to reasonably positive and that happened really quickly. And we know that as we get in the selling season that can happen. The worst customer experience and the worst overall brand building that a company can have is when customers come in and there's nobody to answer the phone, nobody could call them back, nobody to take care of them. So as we manage the SG&A as a percentage of gross, we have to have a finer balance. When I say things like 72% and 73%, the rest of the team looks at me like I'm nuts. I'm probably more optimistic about how things could return. But the reality of it is, is that expenses are going to continue to be there, particularly when floor plan is high and marketing dollars are high, and we're taking on acquisitions. Our standards are not going to change in the foreseeable future, for the overall mid-cycle look. And that is an 8% EBITDA margin, SG&A as a percentage of gross at 70%. Those two numbers have been constant forever, and we've had numbers as high as 13%, and we've had numbers - excuse me, as well as those two numbers, and we've had the opposite. As we work through the 2024 calendar year, we are confident that we're going to do what it takes to get to the 30% plus number of EBITDA. The inputs are still moving around a little bit. Maybe pick up a little bit more margin, we hope. Are our expense is going to be better? Of course, they are. But we have to be realistic about what we're dealing with in this environment and not set ourselves up for credibility issues with the customer, with our employees or with you. So we're sticking to our number because we know we can get there. But there is a lot of moving parts and pieces. And we do believe that the bulk of the earnings for the company, like every other year, are going to happen in Q2 and Q3. I think the difference for us, is that we expect Q4 to be better. We expect it to be better, because there was a lot of noise in our Q4 number last year. And we want to be super clear about that. So if there are no other formal questions, we want to move into the Q&A section.
Brandon Rolle: Okay. Thanks.
Marcus Lemonis: Operator, we'll go ahead and move into the Q&A section, please. That's it, we're done. Okay. Thank you very much for joining our call. We want to confirm there's no more questions.
Operator: There are no further questions at this time.
Marcus Lemonis: Great. Thank you so much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.